Operator: Good afternoon, ladies and gentlemen and thank you for standing by. Welcome to the Stone Company Fourth Quarter and Fiscal Year 2020 Earnings Conference Call. By now everyone should have access to our earnings release. The company also posted a presentation to go along with this call. All materials can be found at www.stone.co in the company – in the Investor Relations section. Throughout this conference call, the company will be presenting non-IFRS financial information, including adjusted net income and adjusted free cash flow. These are important financial measures for the company, but are not financial measures as defined by the IFRS. Reconciliations of the company and non-IFRS financial information to the IFRS financial information appears in today’s press release. Finally, before we begin for our formal remarks, I would like to remind everyone that today’s discussion might include forward-looking statements. These forward-looking statements are not guarantees of future performance and therefore you should not put undue reliance on them. These statements are subject to numerous risks and uncertainties that could cause actual results to differ materially from the company’s expectation. Please refer to the forward-looking statements disclosure in the company’s earnings press release. In addition, many of the risks regarding the business are disclosed in the company’s Form 10 – 20-F filed with the Securities and Exchange Commission which is available at www.sec.gov. Please note that this event is being recorded. I would now like to turn the conference over to your host, Rafael Martins, Investor Relations Executive Officer at Stone. Please proceed, sir.
Rafael Martins: Thank you, operator and good evening, everyone. Joining us here today we have; Thiago Piau, our CEO; Lia Matos, our COO and Chief Strategy Officer; and Marcelo Baldin, our CFO. Today, we will present our operational and financial metrics for the fourth quarter and 2020 results. I will pass it over to Thiago so he can share with you the main highlights of our performance. Thiago?
Thiago Piau: Thank you, Rafael. And good evening, everyone. Thank you for joining us in our fourth quarter 2020 earnings call. Before we dive into our 2020 results, I want to talk a little bit about our strategic direction and the moat of StoneCo. As a client-centric company, we’re always trying to assess how we can help our merchants to become better every day. I believe our moat is about empowering small and medium businesses to win for three important strategic steps, two of which we are already executing well, and the third one is becoming a new dream for us. First, we want to delight our clients and gain their trust by offering a complete set of financial solutions for a world-class technology and service, replacing their existing banking relationship and becoming the dominant financial provider of SMBs in Brazil. Our Stone and Pagar.me teams are working hard to accomplish this goal every single day, building an amazing culture of talented people and client obsession. Second, we want to offer enterprise-level workflow tools to empower our clients to better manage their business, drive the operational efficiency and connecting them to online channels so they can sell more. We started the second phase of the business almost two years ago, and we are happy to see great evolution of our team towards this direction. The investments we made in the acquisition of Linx put us in a unique strategic position to achieve this goal. We are working hard to make sure the team achieves the same level of client satisfaction and disciplined execution, we are able to build in Stone and Pagar.me. The third strategic step, and this challenge we still have to tackle is to answer a very simple question, how can we drive more customers to our merchants? How can we incentivize consumers to shop in our merchant base? We can now start dreaming about answering this question and we know that data infrastructure, user experience and technology integration between our businesses are key elements to make this happen. Moving through results, 2020 has been a year of great achievement despite all the challenges imposed by the pandemic. I believe we balance disciplined execution with important strategic steps, continue to deliver strong results. Our team did a great job and today we are bigger and much better than we were a year ago. We continue to present strong profitable growth and long-term value generation. Moving on to the presentation, I would like to start on Page 4 with client base dynamics. We have significantly scaled our client base in many fronts. In payments, we posted on the fourth quarter, a record quarterly net addition of clients and we keep increasing investments, paving the way for continued acceleration in 2021. In fact, even with the negative impacts brought by the COVID-related lockdowns, we reached over 652,000 active payment clients in 2020, 2.4 times 2018 levels. On top of that, now we count on almost 114,000 clients in TON, our solution to micro merchants, and we see very strong levels of growth in 2021. The number of clients with credit solutions grew to nearly 90,000, almost 4 times 2019 figures and the numbers of open digital accounts surpassed 500,000, eightfold the number posted in 2019 with over 133,000 clients using as the main settlement accounts. Lastly, the number of software clients in our ecosystem grew to nearly 390,000, almost 3 times 2019 levels. We have evolved fast in the convergence of our solutions, in 2019, 10% of our SMB acquiring clients used at least one other financial product offered by us. And by the end of 2020, that number jumped to 34% with new cohorts presents even higher numbers. Besides that, the percentage of clients using both our software and payment solutions also increased from 22% in 2019 to 30% in 2020. As Lia will discuss later in more detail, this trend is improving our unit economics on SMB clients, which is the reason why accelerating our client base is among our top priorities today. We had a record addition of TPV in a year, having added BRL 81 billion of TPV in 2020, a similar level to the total TPV processed in 2018. In fact, the processed volume increased over 150% in just two years, despite COVID impact in 2020. Why we are committed to fast growth and even though we are investing heavily in our business, in 2020, our adjusted net income grew 12% with an adjusted net margin of 29% despite all COVID-related impacts. We have also reported our record adjusted free cash flow generation, which reached over BRL 653 million in 2020, growing more than 57%. Finally, we were able to scale while keeping high customer service levels, achieving a First Call Resolution index of 94% and 91% of the calls rated as excellent by our clients. Stone was created to provide the best-in-class service for its merchants. Even with the business is growing fast and gaining scale with additional solutions, we will never change the commitment we have with our clients. We will work hard to keep providing the best customer experience our clients can get every single day. With that said, I will pass it over to Lia to discuss our results in more detail. Lia?
Lia Matos: Thanks, Thiago. And good evening, everyone. Thanks for joining us today. I want to give some highlights along our three main businesses; Stone, Pagar.me and our software business. Let me start first with the evolution of Stone. As shown on Page 5, the business continues to accelerate and at the same time, improve quality. We saw TPV growth in the hubs accelerate to 45% versus 42% last quarter. Our hubs are also improving unit economics with higher TPV for clients than we had a year ago. Additionally, the productivity of the salespeople in the hubs reached its peak in the fourth quarter, while levels of churn reduced, which helped the company achieve the highest ever net addition of clients in a single quarter, almost 70,000 clients. We also want to highlight the continued evolution of our hubs’ performance. As we can see in the graph on the bottom right, even our more mature hubs continue to present strong growth, with number of clients continuously increasing, while maintaining the number of salespeople per hub relatively flat since the beginning of 2018. Moving on to Page 6, we’re happy to see the higher activation and engagement within our ABC platform. The graph on the left side of the page shows that the percentage of Stone clients using an additional financial solution increased from 10% in 2019 to 34% in 2020. Also the number of clients using at the same time, payments banking and credit, the so called heavy users increased from nearly zero in 2019 to over 5% of our payments client base in 2020. As the graph in the middle of the page shows, heavy users have a greatly improved unit economics, and our team continues to work hard to improve engagement. Our average revenue per client increases when they start to use additional features, with heavy users reaching over 2.5 times higher revenue than clients with payments only. The growth and quality of unit economics in our SMB business have made us confident to double down on our investments in 2021 to further accelerate growth and increase their penetration on a growing addressable market of over BRL 120 billion in revenue. Now on Page 7, we discuss the evolution of our financial products beyond payments. As Thiago mentioned in the fourth quarter of 2020, we reached more than 500 million open digital accounts, with over 133,000 clients already using Stone as their main settlement account. We also saw that total accounts balance increased 92% and the TPV of pre-paid cards jumped 52% against the third quarter. Our credit portfolio reached BRL 1.5 billion distributed among nearly 90,000 clients with healthy monthly returns ranging from 2% to 2.5%. We continue to enhance our credit scoring model, provisioning and collection tools, especially as we experience a second wave of COVID in Brazil, with lockdowns being imposed in some areas. For this reason, we’re being even more selective while disbursing new credit. We have also started to manage new metrics, such as risk adjusted return and risk adjusted return net of funding costs. These metrics better factor in the portfolio profitability, as they essentially reflect the total IRR for a series of cash flows at different timeframes. During this quarter, we took a first step towards limiting our risk exposure by raising approximately BRL 500 million in the domestic market through FIDC. Additionally, we expect to raise more funding for the product throughout the year, allowing us to keep growing this product fast, while further limiting our credit exposure. In addition to the great SMB results, we have seen a significant evolution in TON, our solution for micro merchants. On Page 8, we show that TON’s client base has reached 114,000 clients and our net addition of clients already represents approximately 16% of the organic net adds of the leading player in this market. We see unit economics improving with healthy take rates in TPV per clients, combined with lower client acquisition costs, the key variable to succeed in this segment. Besides, following Stone’s DNA, TON keeps differentiating itself in the segment by providing superior client service. The level of service perceived by the clients reached 87% with an upward trend at the end of the year, just one year in, TON already shows promising trends, and we expect even more improvements as we accelerate our investments in this new venture in 2021. Even though our focus is to invest in growth acceleration, the strong unit economics we have seen indicates that TON might achieve breakeven already in the end of 2021. Still related to TON, we decided to expand the scope of our media agreement with Grupo Globo which was exclusive to TON to the whole StoneCo Group, which gives us flexibility in terms of media allocation. We executed the flip of Globo’s ownership in TON to the StoneCo level, so we now own 100% of TON. We believe this structure is better aligned to generate bigger returns on media capital allocation. Let’s now move to page nine to our fintech-as-a-service platform Pagar.me. Throughout 2020, we have seen substantial evolution in Pagar.me with fourth quarter TPV growing approximately 80% year-on-year. Pagar.me revenues from small businesses accelerated reaching 94% year-on-year growth in the fourth quarter, with take grades considerably higher than what we see in the Stone Hub operations. There are components of Pagar.me small business economics we like and we want to share with you. First, every day we see new digital native merchants being born. Second, our small clients grow while using our solutions. So we have more TPV from the same clients over time, and Pagar.me offering is still heavily concentrated in gateway payments in antifraud solutions, with still low prepayment penetration and an optionality to drive more revenue per client as we evolve the banking and credit solutions, which we expect to start still in 2021. The small business operation of Pagar.me is what really drives earnings growth. And we believe this is the biggest profit pool opportunity for Pagar.me going forward. On the other hand, in the fourth quarter, we faced headwinds in revenue growth in key accounts, driven mostly by impacts on lower take rate levels, which had significant influence from the reduction in the Brazilian CDI interest rates, from 5% in the fourth quarter of ‘19 to 1.9% in the fourth quarter of ‘20. As prepayment pricing for key accounts is usually linked to CDI, and the reduction of share wallets in some of our key account clients. The decline in take rates of Pagar.me key accounts was a main driver of overall take grade reduction in the company. Looking ahead, we are shifting Pagar.me key account operations from a commoditized based on price relationship to a customized based on margin approach. As we always said, key account operations bring volatility in terms of TPV and revenue growth, but has small impact in our profitability. Now moving on to Page 10, I want to talk about our software business. The number of clients using our software solutions has reached nearly 390,000 at the end of 2020, almost 3 times 2019 numbers, and annualized pro forma revenue has surpassed BRL 200 million as of the fourth quarter, with a 55% organic year-on-year growth, demonstrating the ability of those solutions to drive adoption and monetization. We offer our clients POS and ERP solutions in different verticals, such as retail, food, health, leisure and beauty, among others, as well as solutions which help our clients to better connect with their customers and sell more. Despite not being able to talk too much about Linx acquisition as it is still pending antitrust approval, we see that the combination of our software initiatives in Linx will create a leading player in workflow tools for retail, adding strategic vertical presence and enterprise solutions that help clients to increase sales by connecting them to digital channels. We see great opportunities to further penetrate financial solutions into Linx client base, by migrating clients from Linx Pay Hub to our platform so we can increase the value proposition to those clients. We remain very excited with the opportunities in Linx. We firmly believe that the combination of the two businesses will accelerate Stone’s goal of empowering Brazilian merchants by offering enterprise-level workflow tools to help them better manage their businesses, drive operational efficiency and connect to online channel so they can sell more and grow. More than our results and positive influence in our industry, we’re very committed to our country and happy to support society through tough times. We think that the best way to improve our country’s productivity in the long-term is to have good investment in basic education and employability initiatives. Besides our regular support to basic education, like Alpha Lumen, a non-profit school focused in empowering gifted children from vulnerable and low-income families. We have started piloting professional qualification training aimed at improving employability. Those are the two social impact initiatives in which we will be focusing our attention going forward. In addition, in 2020, we have donated BRL 15 million to the construction of a COVID-19 vaccine factory and the construction of a temporary hospital in Rio de Janeiro as well as BRL 26 million in subsidies to our clients in order to help them navigate the challenges imposed by the pandemic. With that said, I will pass it over to Rafael who will discuss our financial results in more detail. Rafa?
Rafael Martins: Thanks, Lia. Starting on Slide 11 and 12, you can see the evolution of the number of active payment clients, TPV and revenue for the fourth quarter and full year 2020. Despite the COVID impact, our payment client base grew by 35.7% this year, reaching 652,600 clients excluding TON and our TPV grew by 60% in the fourth quarter, reaching a total TPV of almost BRL 210 billion realized in the full year. We have also surpassed BRL 1 billion of quarterly revenue for the first time with our revenue growing by 28% year-on-year despite the challenges from COVID-19 and the headwinds from a lower CDI interest rates in our Pagar.me key accounts take rate. Our consolidated take rate excluding Coronavoucher in the quarter was 1.64%, 12 basis points lower than the previous quarter. The lower figure is mainly due to seasonal effects, mainly a higher proportion of debit over credit and effect from revenues which are unrelated to TPV, including POS subscription and credit revenues, which have a negative impact on take rates in the fourth quarter due to strong volume seasonality. In 2019, we saw a similar behavior in the fourth quarter with take rates going down 11 basis points when compared to the previous quarter. When compared to the fourth quarter of 2019, take rate excluding Coronavoucher volumes was 16 basis points lower. This difference is mainly explained by the lower take rates of key accounts in Pagar.me, which we already explained previously. Now let’s move to the Slides 13 and 14 to discuss our operating leverage and profitability. In the fourth quarter of ‘20, we have reached our highest historical adjusted net margin of 35.7% even with significant investments in our operations, which we will detail shortly. In 2020, we saw a very peculiar dynamic with the COVID impacts being strongly reflected, especially in two occasions. First, the financial expenses in the first quarter when we decided to reinforce liquidity. And second, in our total costs and expenses in the second quarter when lockdowns happened, and we saw revenue growth decelerating, while we kept investing in new products and had one-off expenses related to a team resizing in mid May. After the first half of the year as you can see in the graph on Page 13, we have regained operating leverage in our business. Our financial expenses have also decreased as a percentage of revenue, mainly due to lower base rates in Brazil. This higher efficiency led our adjusted net margin to bounce back to pre-COVID levels in the second half of the year with the record quarterly adjusted net margin of the company in the fourth quarter. Those factors above were partially offset by strong investments, such as building our TON operation, hiring of technology team in different areas of the company, including Pagar.me and Stone, investments in customer service and logistics, hiring of sales team, software expansion and increasing marketing expenses. Many of our investments appear in the form of OpEx in our P&L and are already factored in our margins. Now, going over in more detail on each P&L line item on Page 15. Our cost of services reached BRL 213.2 million or 21.3% of total revenue and income in the quarter, increasing 4.9 percentage points when compared to last year. This increase was mainly due to higher investment in our technology and customer service teams, costs from our software solutions and higher transaction and deployment costs to support our operation. When compared to the previous quarter, cost of services as a percentage of revenue decreased 1 percentage point primarily because of lower provisions in losses and lower deployment costs as a percentage of revenue. Administrative expenses were BRL 122.5 million or 12.2% of total revenue and income, 3 percentage points higher than the prior year period, mostly due to higher third-party services related to Linx transaction and more expenses related to software solutions. When compared to the third quarter of 2020, administrative expenses were 0.9 percentage points higher, mostly due to the higher third-party services which were partially compensated by lower personnel expenses as a percentage of revenue. Selling expenses were BRL 139.9 million the quarter or 14% of revenue broadly in line with the 13.9% reported in the prior year period, despite higher investments in marketing, especially with TON. Compared with the third quarter of 2020, we saw a 1 percentage point improvement mostly explained by lower personnel expenses as a percentage of revenue, partially compensated by higher marketing investments. Financial expenses were BRL 64.2 million, a decrease of 40% compared to the fourth quarter of 2019, mainly due to the lower CDI rates, which more than compensated the significantly higher volumes in the quarter. Other operating expenses were BRL 19.2 million in the fourth quarter of 2020, compared with BRL 2.5 million in the fourth quarter of 2019. This difference is mainly related to donations, including a BRL 10 million donation to support the construction of a factory for the production of COVID-19 vaccines, higher share-based compensation expenses, mostly related to the tax and social charges provisions in relation to the appreciation of our shares in the quarter, and higher POS losses as a result of COVID-19 impact on SMBs. Compared with the third quarter of 2020, other operating expenses were 4.4 percentage points higher as a percentage of revenue explained by the same factors of the year-over-year comparison. One thing that we would like to highlight is that in terms of social initiatives, we gave fee exemptions to our clients in an amount of BRL 26 million and we have donated BRL 15 million for the construction of a temporary hospital and a COVID-19 vaccine factory. If we had adjusted the impact of those initiatives in our P&L, which we didn’t, our adjusted net income would be closer to BRL 1 billion. Finally, as shown on Slide 16, we have been able to generate increasing adjusted free cash flow, despite all the investments mentioned previously. Also, we have kept our diligence in capital allocation, aiming at generating rate returns. Our adjusted free cash flow grew 86% in the fourth quarter compared to the fourth quarter of ‘19 to BRL 345.9 million mainly due to higher net income and better working capital dynamics, reaching over BRL 653.5 million in the full year. Also during the year, we have spent BRL 76 million in the repurchase of our own shares, with an average price of $29.65 which generated very positive returns. Besides we have purchased BRL 1.3 billion in Linx shares in the open market at an average price of BRL 36.5 per share, which is below our offer approved in the shareholders’ meeting. Before I pass it over to Thiago, I would like to recall that during our IPO in 2018, we had two expectations over the medium-term, a total revenue and income growth above 40% with adjusted net margins between 30% and 35%. And even with the headwinds brought by the COVID pandemic, we are very proud to say that we were able to exceed our expectations with revenues growing at a 45% CAGR in the last two years and adjusted net margins at 29% for the full year 2020 and 35.7% in the fourth quarter. We expect to accelerate growth in 2021. Now, I would like to pass it over to Thiago so he can wrap up our 2020 results.
Thiago Piau: Thanks, Rafa. Before I talk about what we see ahead of us, I want to show on Slide 17, our assessment of what we did right and where we failed looking back at 2020. We are very proud of some achievements during the year. First, we experienced a solid team improvement, while keeping a strong culture one of our most valuable assets. Also, we saw great evolution of strategy and execution of Stone and Pagar.me with results pointing to an encouraging future prospects way beyond payments. We were able to rapidly adapt to the new reality with COVID lockdowns as we kept the solid financial management of the company, focusing on liquidity management and efficiency in operation and capital location, providing support to our finance team and overall community. We were able to build a strong growth and profitability at the same time. Finally, we took a very important strategic step with the acquisition of Linx and the expansion of our ecosystem of software solutions, and the moat of StoneCo. More accretive than highlighting in the positive results is to understand our mistakes and where we failed so we can learn and evolve. To start, we made the wrong decision regarding the level of resizing the hubs and customer service operation, as well as getting short Stone investments too early in the first half of 2020 given the fast bounce back of our client base, we can now say that it would have been better to hold over capacity to serve better our clients and to grow more rapidly during the second half of the year. And given the results we have seen in TON, we should have maintained investment during the first half. In addition, we were slow in transitioning our key account strategy to a more customized solution relationship we focus on margins. We kept the relationships based on acquiring prices longer than we should, which is not a strategic to our future. We were also slow in launch of our ABC platform in our own standards, we could have done faster. Lastly, we believe that we could have invested more in initiatives for digitization of retail in addition to the Linx acquisition. Now, moving to Slide 18, let me share some thoughts about what we expect for 2021. Keeping in mind that my comments do not include any effect of Linx acquisition, as we’re still waiting for regulatory approval. Due to the improved unit economics we are seeing, we are aiming to accelerate our net addition of clients and we expect to cross the mark of 1 million clients in payments in 2021, excluding TON. We also expect strong growth rates in TON on top of that. To support our growth, we will keep investing heavily in our operation. We expect to grow our commercial and technology teams by at least 60% during the year, continue to provide the best service of the industry, while we expand our product offering to more and more clients. Also, due to the increasing usage of additional products for our clients, take rates should go up throughout 2021 both at Stone and Pagar.me. With that, despite having larger scale, we expect our revenue growth to accelerate significantly from 2020 levels due to the powerful combinations of a bigger client base and increasing monetization per client. Despite the heavy investments, we do not expect our adjusted net margin to be very different from what we saw in 2020. We’re always pursuing the long-term value generation and we are investing to grow as fast as we can. However, our business model allows to generate strong operational leverage and even during times of massive investments, we expect to observe healthy margins. We expect tax rates to be at similar levels as in 2020. To finalize the first part of our earnings call, I would like to say that we were born in 2012 with a clear purpose, to help merchants to better manage their businesses and sell more by offering best-in-class services and products delivered by a talented team of hard working people who always put our clients at the center of everything we do. This is our commitment with all our stakeholders. Our strong culture and client centricity are the pillars that will support us in the exciting journey that we are just starting. With that said, operator, please open the call up to questions.
Operator: Thank you. And we will now begin the question-and-answer session. [Operator Instructions] And our first question will come from Thomas Peredo with BTG. Please go ahead.
Thomas Peredo: Hi. Good morning, everyone and thanks for the opportunity. First, I would like to know if you could share how has been the TPV in this first quarter, you usually give some color in the presentation. But this time we didn’t see anything. So just try to get a sense of how you’re looking at TPV take rate and the credit book in the first Q. And also, if you could give us a little bit more of detail on this revenue growth for 2021. You mentioned at a significant acceleration. But if you could changeabilize a little bit what would be significant, because revenues are growing at 30%, 40% this year. And in 2019 we’re growing much faster than that. So do you expect significant to be revenues doubling or less than that or more than that? If you could give us a bit more color, it would be great. Thank you.
Thiago Piau: Hello, Thomas, Thiago here speaking. Thank you for your questions. Let me start with the first question which is about the first quarter dynamics. So I think that what I can say is that despite this new dynamics of restrictions that we are seeing in ecommerce activities in March, the company is performing well and we continue to make great investments in growth as we have said before. When you look to January and February, we were pointing to growth acceleration both in top line and earnings, mainly driven by the growth in client base and the take rate evolution. We continue to have operating leverage, it’s still too difficult to talk about March. But from what we have learned in the past, we expect strong growth for 2021 as we said, so we are very confident in our business. When we think about revenues, I would separate the conversation about referring in four different parts. So first, let’s talk about the hubs. As we have disclosed, the hubs is growing faster that we was first expecting in the beginning of the year, mainly because of two effects. We have the client base grow effect fast. And we have a new dynamic in terms of revenue per clients, because of the additional revenue that we have for our new products. So we are now disclosing more information about what we call heavy users. And we expect the percentage of heavy user to grow over time, so we expect to continue to accelerate growth on the hubs. When we talk about Pagar.me, there’s basically two operations with two different dynamics. You have the SMB and Pagar.me, and you have the key accounts. In the SMB, basically, we’re growing at 94% rate at fourth quarter. And we expect to keep this level of growth for 2021, mainly because the markets it’s big, and every single day you have more clients, your clients grow with you. And we still have the optionality to better manage risk operation to do more prepayments and to bring credit to operation for those clients, which we still don’t bring. In the key account operation, there’s a huge effect from the CDI, because mainly the prepayment is the index to the CDI. So that’s why we saw some decrease. But in the same way, the cost of that operation decreased too, because our cost of funding has decreased. So that’s why we decided to put more data for you to see the revenue adjusted by the cost of funding. And in revenue, I think that the pro forma revenue is growing. But basically what we are more happy about is the organic growth. So I think that our initiatives in software is performing well. And every day more we enhance our management system to operate our software initiatives with the same level of discipline that we operate Stone and Pagar.me. So we are happy to see that in 2021 despite the trends that we can see now in March, we really expect great levels of growth, considerably bigger than what we have in 2020. You know that we don’t like to give too much guidance, but I can say that we are very happy to see the level of growth that we expect for 2021.
Rafael Martins: And Thomas Rafael here –
Thomas Peredo: Thank you. Thanks very much.
Rafael Martins: Hi, thanks for the question. Just complementing what Thiago just said. We gave the guidance of 1 million clients, which represent a little over 50% increase compared to the client base of the end of this year 2020. So, and of course, as Thiago said, we remain very excited about the revenue growth of the company for the full year. And we see an acceleration within the year, right. So I would just like to add that additional point to give more clarity. Thank you.
Thomas Peredo: Thank you very much.
Operator: And our next question will come from Tito Labarta with Goldman Sachs. Please go ahead.
Tito Labarta: Hi. Good evening, Thiago, Lia and Rafael. Thanks for the call. Maybe following up a little bit on Thomas’ question on the revenue growth. To think about, I guess the TPV growth you know, it was 39% excluding Coronavoucher. So given what you’re saying, so that should accelerate and should we think about that excluding the Coronavoucher, is that the right way to think about it? And the take rate we see an upward trend. I mean, do you think you’re still below sort of pre-COVID levels? When do you think you can? Well, one, can you get back to those pre-COVID level take rates? And if so, but when do you think you would get back to that? And then I guess last question, just on the margin guidance that you’re saying, it’s stable for the year is that stable for the full year of 2020 which is around 29% or stable with the fourth quarter that was the 35% just to make sure more clear? Thank you.
Rafael Martins: Hi, Tito, Rafael here. Thank you very much for the question. So regarding our first question of take rates, what we see as when we look at our hubs operations, for example, we see an upward trend in the take rates there, right. And what we expect for 2021 is a continued expansion of revenue per client in the hubs. So that of course has a positive effect in take rates and being very direct to your question, I think yes, we can reach the pre-COVID levels at take rate and surpass them actually. And what we see is an upward trend as we increase the percentage of heavy user – heavy users, they are only 5% today of our payment client base. We usually see that take rate going up. Regarding your second question, we mentioned for the full year, so it would be close to 30% levels. We have seen close to that in 2020 and we expect a very, very strong growth in 2021 with a lot of investments. And despite that, we do see very, very healthy margins. And also we see the TPV growth accelerating.
Tito Labarta: Great, thanks Rafael. And just as clarifying and the TPV growth accelerating that we should consider the 39% excluding Coronavoucher is accelerating from there?
Rafael Martins: Yes, that’s correct, Tito.
Tito Labarta: Okay. So somewhere in the 40%-plus range is reasonable?
Operator: Pardon me this is the –
Rafael Martins: I think we can move to our next question. Operator, please.
Operator: All right. Our next question will come from Rayna Kumar with Evercore. Please go ahead.
Rayna Kumar: Hi, thanks for taking my question. It’s good to see the record net adds in the quarter. The average spending per merchant though that’s definitely growing that only grew mid single-digits in the quarter. And I’m just curious, what was the driver of that? And how could that look into 2021 as you continue to add more smaller merchants?
Thiago Piau: Hi, Rayna, Thiago here speaking. I think that about your question, we have disclosed it on Page 5, the expending per merchant or the TPV per client in the hub operation. And basically, the hub operation is focused on the SMB. So we don’t have a wide difference in type of clients. So you’re seeing that we now have a little bit bigger clients that we had before. So it’s a 4% up, TPV per clients while we are growing fast our client base, but this is basically only the SMBs, all the TPV and all the revenue that comes from TON is on top of that. So it’s a separate operation, we manage it separately. Yes, it has a low expenditure per merchant, but has a bigger take rate dynamics. When you see the Pagar.me operation, then the expenditure per client or the TPV per client in the SMBs in Pagar.me, they are considerably bigger than what you see in the Stone, and the take rates in the payment operation of Pagar.me has a better take rates, it’s a bigger take rates than you have on the SMB operation in the Stone. So it’s important to understand the dynamic of client base on those three separate operations. That’s why we’re increasing disclosure of both operation for everyone to understand the dynamic of client base in each one of those initiatives. And on top of the dynamic of TPV per client in the hubs, we expect to have a better revenue per clients in the hubs than what we have today, because of the increasing solutions that we are offering to them. Today, we already have 20% of our client base in our new ABC platform, we expect to increase the pace of migration of our client base. And we are migrating the new process of sale to this new platform. And we expect to have the launch of the registry of receivable in June. And this is important, because from that moment onwards, we do have the ability to offer credit and to offer prepayments or the volumes based on the volumes that the clients process may be you know other players and you can advance the client base based on products that can not only payments, based on the other products we have. So that will be an important dynamic for 2021.
Rayna Kumar: That’s very helpful and if I can slip two quick ones in there. How could the take rate look if we do have a second round of Coronavouchers? And secondly, if you can talk a little bit about the cadence for your net income margins for 2021 by quarter, as in, you know when could we – what is the timing for your salesforce and technology investments that you expect to make this year?
Rafael Martins: Hi Rayna, Rafael here. So regarding your first question of Coronavoucher volumes, is difficult to estimate exactly. But actually when we have the Coronavoucher volumes, the take rates go down but they are incremental to our margins and they add gross profit dollars right. So we are, usually when the volume from Coronavoucher comes, it’s accretive to the company overall despite you having a smaller take rate. So if it happens that’s why we have broken down in the results the volume of Coronavoucher. So you can see more the effect of take rates without the Coronavoucher effect, right. Regarding your second part of the question. We don’t see a lot of volatility in margins, we are already investing heavily at the beginning of the year, and we will continue to invest along the year. Usually you have at the end of the year with a little higher margins due to more operating leverage in the fourth quarter, but not big moves in the margins along the year.
Rayna Kumar: Thank you.
Rafael Martins: Thank you.
Operator: And our next question will come from Craig Maurer with Autonomous. Please go ahead.
Craig Maurer: Yeah, hi, thanks and good evening. I was hoping you could comment on the growth – on the expansion of growth in the SMB credit business. I know that you’re moving to a net present value on accounting on the revenue stream. And if you’re moving to accelerate originations through the year, and you’re going to NPV the revenue, the revenue stream off of those loans. Shouldn’t we see a dramatic acceleration in financial income through – financial revenue throughout the year? Thanks.
Rafael Martins: Hi, Craig, Rafael here. So yeah, that’s right. The way we booked the revenues we are at fair value as we have been disclosing. And it does have the disbursement effect. So basically, when we have a disbursement, we have the NPV of that disbursement. And when you look at the growth in our credit portfolio, you can pretty much calculate the net disbursements in the quarter. So and just to remind that there’s many clients that they have a rollover credits, right, so we disburse, if the client pays down the loan, they have additional disbursements over time, so that that provides some continuity to the credit revenue streams despite the NPV calculation. And we see overall debt line being – becoming more relevant as we add additional financial solutions in the SMB client. So we expect the heavy users of SMB clients to increase over time, and we should see that revenue going up.
Craig Maurer: Okay, thanks. Can you just –
Thiago Piau: Just Craig, just to add some comments here about the credit operations. So first, we are not changing the way that we book this operation. So we have exactly the same methodology since the beginning. What we are doing here is that, we are showing new operational metrics in order to help everyone to track this operation. So basically, going forward, we will talk about the return – the risk adjusted return because it’s – it shows the internal rate of return net of losses on the best way possible for the whole standing balance. And we are showing the risk adjusted return net of cost of funding for everyone to understand the internal rate of return net of the funding process that we are undertaking now. And we are showing the duration of the outstanding balance. And we will show the outstanding balance and the outstanding balance net of the sale that we did to third-party partners. So everybody will understand the size of the outstanding balance, how much we have sold, risk adjusted return and risk adjusted return net of cost of funding and the duration of the outstanding balance. So I think that with these KPIs, everything can track the performance of our credit solutions. And we are very positive, we’re very happy to see the healthy level of the returns and the growth of this balance. I think it’s a way that we are really helping our clients who have access to capital so they can invest more in their operation to buy more goods to sell and at the same time, it creates a positive take rate dynamics for the company.
Craig Maurer: The duration on the loans is still roughly six to nine months, correct?
Thiago Piau: Yes, the duration is eight months.
Craig Maurer: So okay, so and the balance that we see at the end of period actually underestimates the level of originations that are happening over the course of a full year, correct?
Thiago Piau: Yes.
Craig Maurer: Okay. Thank you.
Thiago Piau: Thank you, Craig.
Operator: And our next question will come from Mario Pierry with Bank of America. Please go ahead.
Mario Pierry: Good evening, everybody. Thank you for the opportunity to ask the question. Let me focus also on the revenues and the take rates. First question I have is, when you talk about you know the take rates in the hub segment going up. Part of this, as you explained this because you’re adding new products. But if you can discuss a little bit the competitive dynamics in the segment. So if we were not, you know, if we’re comparing apples-to-apples, what do you think is the evolution of your take rates on your hubs? And my question is, because right, we were seeing, we saw one of your competitors announced a big move into the SMB segment. Also, we know that another competitor wants to IPO later this year. So I was just wondering right if we’re going to see more competition and the pressure on the take rate in the hub segment? Second question related to revenues also, you disclosed here and thank you for that, your take rate at TON is 2.2%. And this seems to be lower than your competitor in the micro merchants segments. In this, for me it seems a bit aggressive, especially considering that your TPV is roughly half – your TPV per clients here is roughly half of your main competitor. So if you can disclose a little bit about your pricing strategy in the segment. And finally also related to revenues, you know, on the credit segments here. Thank you for sharing your rate that’s 1.6% to 2.1% return. But I was wondering if rates in Brazil continue to go up? Are we then talking about a number closer to 1.6% rather than the 2.1%? So if you could give us a sensitivity of your returns, if the CELIC rates continuously goes up in Brazil? Thank you.
Thiago Piau: Hello, Mario, thank you for the great questions, Thiago here. So let me try to break down the answer in pieces in here. Rafael help me here if I forget something. So let’s start on the dynamics of the hubs and the revenue per client and take rate in the hub. So basically, Mario, we don’t see difference in terms of competitive environment on the SMB operations, if it’s the same competitive environment as always, what we saw, if you compare the level of take rates on a payments only clients, and if you compared ‘18, ‘19 and 2020, there was a small decrease in take rates on payments only clients basically, because as the basic rates in Brazil went down, so prepayment rates went down a little bit. This is a fixed rates-based type of operation plus competition has the trend of being a little bit down as the base rates of Brazil is going down. But our dynamics in take rates is in the opposite direction. So our take rates is going up because of the penetration of additional products that we have. So that’s why we decided to disclose here for you in terms of unit economics, what’s the take rates comparison, when you see payments, plus banking and then the ABC heavy user, which is basically all the banking activities in the credit activities in the payment clients. So that’s the rationale why we continue to drive take rates, because the level of offering we bring to our clients with a complete product with one single client experience that we can take that phone call in 3.5 seconds now. We are solving 90% of the problems in the first call that we receive from our clients. We are close to the counter inside of Brazil, we have a pretty fast logistics, this level of client satisfaction that you can give, it’s difficult to replicate. So we can drive client base and take rates up at the same time. So we’re not worried with the SMB operation, we think that all the trends are in our right direction. When we talk about the micro merchant initiative of Stone, actually we are very happy to see with economics. And when we see the LTV to CAC ratio, we were incentivized to invest more. And you can see that we already have now 48,800 net adds in a quarter. We expect to increase this. We have to – we expect high growth level in TON in 2021 as we keep investing more and more. We have now positive unit economics and the unit economics in January and February are actually going up. So we will invest more. And I think that this level of take rates and TPV per clients, they may make sense we expect to increase a little bit over time. But for the solution we have now and the operation we have, I think that it makes sense. And we continue to invest more in this operation. But it’s only micro merchant initiatives then I think that this is the key difference in the way that we disclosure – that we disclose our metrics. So you have the pure SMB operation within Stone with a clear value proposition for clients and all the unit economics there. And you have here a clear value proposition to micro merchant with its own unit economics. So you can understand pretty much the dynamics of the business. And we are very happy with the growth. Talking about the credit operation, I don’t think that the main components in terms of risk adjusted return net of cost of fund is the base rate in Brazil, I think that the main component is our ability to keep NPLs low, those are the main components when we think about returns. And we are increasing our credit scoring methodology, we increasing our technology in terms of understanding data and drive our credit offering for the best type of clients we have in our client base. So we expect to keep this level of returns, we think there are healthy level of returns. And we don’t see the base rates of Brazil impacting too much this level. What we have to be focused here is to control NPLs while we grow the outstanding client base. So we can keep a healthy operation and we keep selling the client base to third-party investors, exactly as we do with prepayments.
Mario Pierry: Okay. Now very clear, Thiago. So of these loans that you’re offering, are they, I know, it’s only eight months. But are they fixed rates? Or are they variable rates?
Thiago Piau: They have fixed rates.
Mario Pierry: They have fixed rates, but your funding is variable, right? The CDI plus 4%? I think you show that.
Thiago Piau: Yes, but the duration is small and we have a growth in the outstanding balance in the rate in the pace that you’re seeing. So we have pricing decisions every single day. So we can adjust pricing based on cost of funding and NPLs on a very fast pace.
Mario Pierry: Right, now perfect. And then when you talk about the 1.6% to 2.1%. Can you give us the evolution of the ratio? How it has been behaving? Like was it closer to like 1.6%? And is it going up to 2.1%? Or are we closer to you know, are we at the midpoint?
Rafael Martins: Hi, Mario, we haven’t – actually when we look at the evolution of the credit solution, we have learned a lot and improved a lot our accuracy. So if we look at older cohorts, we were lower than that. If we look at newer cohorts, we are closer to the top of the range. So that’s why we put a range there, because as the business is growing fast, we might see that vary a little bit. But what I can tell you is that, we are improving the learnings that we have, and we are getting better and more accurate in the credit scoring.
Thiago Piau: Okay, Mario – just one additional comment, I would say that we are using ranges because when you have this COVID scenario that we have here in Brazil, and I think that you’re seeing, it’s very difficult to be precise in our expectation in the short-term to medium-term. But I would say that around 2% risk adjusted return net of cost of funding is at very healthy level. And we expect to really increase the client base as we increase our ability to sell this outstanding balance to third-party investors. So we just did the first movement in the fourth quarter. We are now in the process of getting a new rounds between first quarter and second quarter this year. So we expect to see a big increase in the credit outstanding – in the credit outstanding balance given the client base we have.
Mario Pierry: Great. Now it was very clear. Thank you very much.
Rafael Martins: Thank you, Mario.
Operator: And your next question will come from Jeff Cantwell with Guggenheim Securities. Please go ahead.
Jeff Cantwell: Hey, thank you and appreciate all the details you give us during the prepared remarks. As you were talking about the revenue per hub client, the strategy really seems to be working. I was focusing on Slide 6 and there were a couple things there that stood out. You know that 34% of SMB clients are now using more than one financial solution and the 5.3% of SMBs are now heavy users and the unit economics are clearly strengthening. So can you talk some more about that? I know you have been, but the reason I ask is, because it looks like a massive revenue pulling you’re about 3% penetrated at this point. So it appears like there’s a lot of work you can continue to do there and keep driving more products into your client base. And then maybe related to that. I was just curious what you think a non-COVID truly the post-pandemic year might look like, maybe thinking further out, it just seems to me like some of your payment clients might be maybe holding back on some of their own investments, given all this macro uncertainty. Just hoping you can just kind of give us your thoughts thinking a little further out in terms of how revenue per client can trend from here? Thanks.
Thiago Piau: Hello, Jeff, Thiago here speaking. So Jeff, I think to comment on the dynamics of the hubs, let me say this. When we began our operation, we were specialized in finding the right customers and get in touch with the owner of that merchant to do the sales process of a payment solution and deliver the best-in-class service that we could build here in Brazil. And we earned the trust of that client to talk – additional solutions, then, we built from the ground up the banking, operation and the credit operation. And we started to sell both banking and credit on separate avenues for our clients, we became confident in our ability to really replace the existing relationship that they have with incumbent banks. And we decided to create a new platform, which we just launched, which is the ABC platform. And for that platform, it’s basically a matter of activating new products for the same client. So we are increasing the convergency of our solutions, because basically, now we can sell to our clients based on payment or based on the banking activities. And we can upsell payments and credit for that same client. And we are seeing that the level of engagement of the client is going up. And we just disclosed the number of clients that now settle transactions from payment related methods directly into our bank accounts. So that’s what is driving really the revenue per client up. And yes, there’s a massive revenue opportunity for us to address why we keep improving our ability to have heavy user inside of our client base. So the goal is to have a massive part of our client base is heavy users. And we really want to replace the existing relationship that they have with the incumbent banks. If it wasn’t for the COVID, yes, I think that the revenue per clients would be a little bit bigger than what you’re seeing here. But let me tell you that we are very happy to see the trends in take rates in the hubs. And we will continue to invest on this two fronts. We want to grow our client base as fast as we can. And at the same time, we’ll keep investing to upsell solutions into activate clients into banking and credit. Lia, do you want to –
Lia Matos: Yes –
Thiago Piau: Add?
Lia Matos: Jeff, if I can just complement what Thiago mentioned, I think there’s two very important trends to highlight here. I think, number one, as we continue to migrate onto the ABC platform, and this is something that we’re advancing quickly now in 2021, 100% of new sales already happening onto that platform. What it means is that, a client may initially decide to use only acquiring solution and for example, banking domicile like Thiago mentioned, settling the receivables from acquiring into the Stone account. That may be the first step right. But then over time, this client will activate more and more features. And because all new onboardings are already happening onto the platform, this becomes a very strong avenue of growth in terms of selling more beyond payment solutions, right. And I think mentioned – I wanted to just mention one aspect of this, your question related to the COVID dynamics of our merchants. I think there was one – there’s one behavior that happened last year when the crisis hits for the first time is that, we did see this mortality rate, right. And then when you look at the evolution of our growth, you see that impact that happened when the crisis hit at that time. I think there was the client, the merchants that we see and that are active today are those merchants that were resilient and that overcame this crisis moment. So we expected the level of that same impact to be much, much smaller. The merchants that are active now are much more resilient as an effect of what happened. And I think that’s a third important comment is, we see very important trend in consumers buy moral line. So we’re seeing a very – we’re very positive and we’re very excited about the opportunities and continuing to grow small client base within Pagar.me and just wanted to make those highlights because I think they’re very important.
Thiago Piau: Lia, just one more comment, sorry. So Jeff, one more comment here. One dynamic which will be very important this year is the registry of receivables, because our credit product is based on data. So in order to offer credit to our clients, we have to see usage in a data for a certain period of time. And then we are inclined to this to give credit based on the level of information we have and that steady flows of payments, right. But once you have the registry receivable and you have the open banking infrastructure of central bank evolving, then you can access information if your client give you, to give credit based on what they have in terms of volume in different payment methods, electronic payment methods and with the local receiver we can replicate the same risk type of operation that you have from our payment clients. So we expect to increase our ability to offer credit and the same level of risk that we offer today to our client base. And that should be very accretive for us. In the other hand, in order for us to do this, we have to increase our ability to sell the credit outstanding balance because we don’t want to care. We don’t want to carry too much risk in our balance sheet. So that’s why we are executing on those two fronts to have more access of data from our clients and the registry receivable and open bank infrastructure help on that front and in the other hands to sell the client the credit outstanding balance to the market to get funding to keep growing the balance that we have.
Jeff Cantwell: That makes perfect sense. Thank you for all the color. Appreciate it.
Thiago Piau: Thank you very much, Jeff.
Operator: And our next question will come from Victor Schabbel with Bradesco BBI. Please go ahead.
Victor Schabbel: Good evening, everyone. So thank you for taking my question. So I have only one simple question here. It’s about the NPS in the past you guys brought to us a lot of information about the quality of customer service, bringing some data about the NPS of Stone and how good it was trending. And in the last few quarters, we haven’t been seen any more the NPS figures. So I just wanted to check with you guys if you plan to bring it again to us the reasons why not disclose the NPS, because it was in our view, one important part of the investment case, right having a better or above the years, customer service that we still believe that you guys have, but because of that we just wanted to double check why not disclosing anymore the NPS figures? Thanks a lot.
Thiago Piau: Hi, Schabbel, thank you very much for your question. A good question. No worries in terms of NPS, we are always increasing the level of disclosure to make everyone understand more of the dynamics of the business. We are disclosing here the First Call Resolution rate and the level of service they continue the same. And actually, we are now answering our clients’ needs faster than we were before. So the average waiting time on customer service was in the past around 5 seconds to 6 seconds and in January and February that decreased for 3.5 seconds. And actually we’re now adding more self-service type relationship through the new platform referral clients. So no worry regarding NPS. I think that as we said before, our commitment towards client satisfaction, our commitment towards serving the SMBs in Brazil is the biggest commitment we have and keep focusing on that. And I think that the level of service that we offer to our clients continue to be the same. And we expect to have even happier clients when we have more products to them. So no worries regarding NPS.
Victor Schabbel: Okay, thank you guys.
Operator: And our next question will come from Jamie Friedman with Susquehanna. Please go ahead.
Jamie Friedman: Hi. Thank you for taking my question. Lia, in your prepared remarks you mentioned that you’re buying in consolidating the Globo partnership. I was just wondering what the logic was in consolidating that now? And you know if there’s any financial implications that we should consider when we’re trying to model that rationale?
Lia Matos: Yeah, I think – thank you for the question. The logic we explained is, we think that there’s – we will have much better return on this media location. If we can look at the scope of this beyond just Stone I think there’s a lot of value to be created. If we think more broadly within the Group, within Stone, within TON, within Pagar.me. So that’s a very important reason and rationale for this move. I think Rafa, if you want to comment on the modeling?
Thiago Piau: Yeah, Lia like can I add some comments here, Thiago speaking. That’s a great question. So I think that first I would like to say that when we see the growth of TON, the improvement in unit economics that we have, we are very happy that now we own a 100% of the business, and we can bring more synergies and do operation of TON and Stone. So I think that that was a very good movement. It’s an accretive deal. And we are happy with that. And the second is that, as Lia said, the main rationale here is to maximize return in capital location in media, by expanding this relationship to StoneCo, we can use that partnership for all the brands, both Stone, TON and Pagar.me. So the way that we can manage investment through different channels, I think that maximize value for Stone, maximize value for TON and for StoneCo too, and as well maximize value for Grupo Globo. So we just flip up the shares in a market transaction. And we are very happy that now we can bring more synergies between TON and Stone with TON being a product of Stone. And we can allocate capital in media with better returns. Those are the two rationales.
Rafael Martins: James Rafael here just to complementing the – to your question. So we already consolidated TON, right, so you don’t see any impact there in top line. You will see a different non-controlling interest in our net income as you don’t have the minority stake there. And as we mentioned in our release, you will see that we issued 1.3 million shares for that transaction. So that could increase a little bit our number of basic and diluted shares.
Jamie Friedman: Got it, perfect. I’ll drop back into the queue. Thank you very much.
Rafael Martins: Thank you.
Operator: And our next question will come from Neha Agarwala with HSBC. Please go ahead.
Neha Agarwala: Good evening, everyone and thank you for taking my question. Two quick questions. First, on credit book, you mentioned that you’re going to grow the trade book very strongly this year. So what is a reasonable level that we should expect? We’re currently at BRL 1.5 billion, could you double or triple the size of the loan book into 2021? Also, if I understand all the revenues from the credit book goes to your financial income? Would it be possible to strip down your financial income into what is from prepayment and what is from the credit operations so that we have a better view of how the – is that evolving? My second question is on cost growth. You will continue to invest in your business by hiring more people. Is most of the increase in the personnel already accounted for in your OpEx in the fourth quarter? Or should we expect a bigger part of the hiring to be done in 2021? And would you do your – are you also looking to open more hubs during this year? Thank you so much.
Rafael Martins: Thanks, Neha, Rafael here. So regarding your first part of the question, we still see opportunity to increase multiple times the credit portfolio, right, as we have mentioned previously, so despite being conservative in the credit disbursements, we think that there’s a huge potential here and we still see a big potential to increase that portfolio multiple times. So in terms of revenue, we – our financial income is around 50% of our revenue when you look in our P&L. we don’t break down the numbers there in credit and other types of financial income, especially because we manage the relationship of clients and on LTV basis, as we have mentioned in the past with the MDRs in prepayments. So it’s really, it’s been accretive for revenue, we are managing this on a combined basis, take rates and LTV, and we should see that revenue increasing over time. So when you look – despite that when you look year-over-year, that transaction revenues grew even faster than the financial income. So the business continues to grow overall, it’s not sort of dependent on that or that revenue to grow. And regarding your third part of the question of the costs, as we mentioned in our release, we expect to increase our salesforce and technology team by at least 60% this year. So and we have already started hiring in the first quarter, we are investing since the beginning of the year, we have learned in the past that we have to invest so we can accelerate along the year and that’s what we are doing. So I would say that the cost should increase as our investments grow within the year. So not a specific quarter that we invest more or less.
Thiago Piau: Rafa, can I add some comments –
Neha Agarwala: Are there any plans to add new hubs?
Thiago Piau: Yes, Neha, Thiago here speaking. Thank you for the great questions. Yes, we will continue to grow our hub operation, both by having new locations and by creating density in the locations we are. And in terms of the way we think about our strategy in pricing, we will always look to revenues for clients. So we are increasing revenue per clients on our hub operation. But the way that we manage our solutions in terms of monthly subscription MDRs, the level of prepayment we use and the level of credit we use are two different projects in two different operation. Yes, the margins and the credit products are a little bit bigger than the prepayment. But you have to manage in a way that it’s best for your clients. So you have to see segments, size, location, it’s deferred. So what we are doing is, we’re maximizing pricing strategy in a way that we can drive more revenue per client without diminished NPS. So if you try to push too much take rates, you can have an impact on NPS in the perception of the client. So I think that we are being very assertive in the way that we decide pricing, based on many metrics that we decide one – once we make the onboarding of the clients. So once our site – salespeople put all the data of the clients within our app, within 35 seconds and 40 seconds, we have to come back with for price based on the KPIs that we are seeing and the upsell that we do of products are based on the data and activation of the products we have. So the goal is to maximize revenue per client in a way that the client feels that is the best way for them, not to hurt the perception of service not to hurt the NPS.
Neha Agarwala: Thank you so much.
Thiago Piau: Thank you, Neha.
Operator: And our next question will come from Guilherme Grespan with JP Morgan. Please go ahead.
Guilherme Grespan: Hey, good evening, everyone. Thanks for opening for questions. Just two on my side, first, just to refresh views in PIX, we have been out foremost live on the initiative from the data from the central bank. It seems that the traction on people to motion is low, but want to confirm a few how the initiative has been practiced on and get your refreshed views if you believe this is a risk either to the positive or to the negative in the short-term? And just a second question on stock-based compensation. If you believe it’s fair to assume this quarter, which 40 million to 50 million level four quarter as reasonable in 2021 even it increased a little bit the in the last two, three quarters? Thank you.
Rafael Martins: Hi, Guilherme, Rafael here. So I will start answering your second part of the question. So just to highlight that in this quarter, we had some effect of share – mark-to-market of our shares. So when they – our shares increase, you have the taxes related to share-based compensation, we have to mark them to market so you have a significant effect at this quarter. And going forward so that’s why going forward we expect a little less than that. But of course, we still expect a new grants and the share-based compensation to be there. But we had that one-off effect in the fourth quarter.
Thiago Piau: Hi, Guilherme Thiago here speaking. Just adding some comments when we think about share-based compensation, remember that before our IPO we have reserved a pool to incentivize our partner here is in the company. And we’re still using that pool that we have reserved pre-IPO and we still have space to incentivize young talents in the company. So I think that we are doing well on that front and that’s why we adjust that we said prior to our IPO and we continue to show all the adjustments on a separate note. So once we have the need to provide more share-based compensation that we have previously separated from the IPO, then we will not adjust, you will see that in the P&L as a regular expenses, right. So that’s what we have disclosed it before we continue with the same trends and with the same strategic direction that we said before, the biggest change thing here in the fourth quarter as Rafael said is about the mark-to-market in the tax part of the share-based compensation. In terms of PIX and that’s a very great question, what we’re seeing is that PIX is still not relevant yet in the payment methods in our merchant base. So we see that PIX is gaining traction in terms of replacing wired transfer. But when you compare PIX as a payment method from consumers to merchants in our operation, it is still very low, is still 0.1% of the debit volumes, but we see net take rates of PIX actually better than the net take rates of the debit transaction. So we still have to see as like what the information that I can tell you is that, by today, if you compare the volume of PIX to the volume of debit transaction is 0.1% in our client base.
Guilherme Grespan: Super clear. Thank you.
Thiago Piau: Thank you very much, Guilherme.
Operator: [Operator Instructions] Our next question will come from Marco Calvi with Itau BBA. Please go ahead.
Marco Calvi: Hi, good evening, everyone. Just a quick question from my end. It was clear during the call the negative effect in revenues associated with the company, focusing more on smaller clients in Pagar.me. Therefore, for my understanding revenues in the prepayment from key accounts dropped materially. That being said, how does that reconcile with the TPV growth in the quarter? Of course, it was a very first figure, but the growth phase was slightly below on a yearly basis compared to what we saw in the third quarter. So, is it fair to say that from our client segmentation standpoint that these lower growth in TPV came from key accounts? And if so, what is the rationale behind it? Thank you.
Thiago Piau: Hi, Marco, Thiago here speaking. Let me try to answer your question and let’s focus on the Pagar.me operation. So we gave you some information here in order for you to reconsider the dynamics. So the overall TPV in Pagar.me grew 80% on a year-by-year comparison the fourth core. And you can see that in a revenue perspective, the small business operation grew 94% while the key account revenue decreased 10%, mainly because of the CDI impact. If you adjust the CDI impact, then you see almost the margin of the key account that increased by 36% in the quarter, bringing the overall growth of Pagar.me net of cost of funding at 46%. So you can see that yes, the growth in terms of TPV in the small business are considerably higher than the growth of TPV in the key accounts. And what we are changing the way that we address key accounts leads here is that, we don’t want to have more those type of relationship based on payments only, where clients are creating competition and bidding four or five different players at the same time for a commodity time of payment relationship, we really want to have a deep relationship based on the quality or ability to have better conversion rates, our ability to provide chargeback disputes, the fraud prevention, we are now moving our banking-as-a-service operation for some of our key accounts. So we have customized relationship based on revenue and not only based on volume, but yeah there’s – there was a decrease in terms of growth in the key accounts of Pagar.me. But that key account operation brings volatility to top line, when you have top line adjusted by the cost of fund decrease a lot the level of volatility, but there’s no impact to the overall earnings of the company. That’s why we decided to increase the level of disclosure to show how healthy the operation in Stone SMB and – TON micro merchant, the Digitals Small Business of Pagar.me and the software operation and show exactly the dynamics and the volatility that the key accounts brought in the Pagar.me operation and you can see the difference in take rates of both the small businesses and the key accounts compare to the average hub that I think that people know better. So I think that with this level of disclosure, you can understand more the dynamic. When you have more share of wallet of some clients, and you have Coronavoucher volume, this dynamic changes, right. So because of this type of volatility, we decided to increase disclosure so everybody can understand the trends.
Marco Calvi: Great, very clear. Thank you.
Thiago Piau: Thank you very much, Marco.
Operator: And this will conclude our question-and-answer session. I’d like to turn the conference back over to your host today for any closing remarks.
Thiago Piau: Hi everyone, Thiago here. I would just like to say a big thank you for all our shareholders and the support they give to us and a big thank you to our team that has provided an amazing work this quarter. And let’s continue to work every single day more towards our clients and see you next quarter. Thank you, everyone. Bye-bye.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect your lines at this time.